Operator: Good morning, and welcome to the Sonic Automotive Fourth Quarter 2024 Earnings Conference Call. This conference call is being recorded today, Wednesday, February 12, 2025. Presentation materials, which accompany management's discussions on the conference call, can be accessed at the company's website at ir.sonicautomotive.com. At this time, I'd like to refer to the Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. During this conference call, management may discuss financial projections, information or expectations about the company's products or market or otherwise make statements about the future. Such statements are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from the statements made. Risks and uncertainties are detailed in the company's filings with the Securities and Exchange Commission. In addition, management may discuss certain non-GAAP financial measures as defined by the Securities and Exchange Commission. Please refer to the non-GAAP reconciliation tables in the company's current report on Form 8-K filed with the Securities and Exchange Commission earlier today. Now I'd like to introduce Mr. David Smith, Chairman and Chief Executive Officer of Sonic Automotive. Mr. Smith, you may begin your conference.
David Smith: Thank you very much and good morning everyone. Welcome to the Sonic Automotive Fourth Quarter 2024 earnings call. As he mentioned, I'm David Smith, the company's Chairman and CEO. Joining me on today's call is our President, Jeff Dyke, our CFO, Heath Byrd, our EchoPark Chief Operating Officer, Tim Keane, and our Vice President of Investor Relations, Mr. Danny Wieland. We would like to open the call by sincerely thanking our amazing teammates for continuing to deliver a world-class guest experience for our customers. Our EchoPark automotive teammates have once again earned the top spot as the number one pre-owned automotive dealer in guest satisfaction ranked by reputation.com. Our Sonic Automotive franchise teammates set a second consecutive annual record in customer satisfaction scores. Our teammates are truly living our Sonic purpose: deliver an experience for our guests and our teammates that fulfills dreams, enriches lives, and delivers happiness. We believe our strong relationships with our teammates, our manufacturer and lending partners, and our guests are key to our future success. And as always, I would like to thank them all for their support and loyalty to the Sonic Automotive team. I'd also like to welcome our newest Sonic teammates from our fourth quarter acquisition of the remaining 50% joint venture of Northpointe Volvo in Greater Atlanta, in addition to acquiring Audi New Orleans, and Motorcycles of Charlotte and Greensboro. Collectively, we expect these acquisitions to add approximately $145 million in annualized revenues to our business. We would also like to announce that we are back in the market and actively pursuing major acquisitions of new vehicle franchises in 2025. Turning now to our fourth quarter results. Our GAAP EPS was $1.67 per share and excluding the effect of certain items as detailed in our press release this morning, adjusted EPS was $1.51 per share, a 7% decrease year over year. Fourth quarter consolidated total revenues were an all-time quarterly record, up 9% year over year, while consolidated gross profit grew 6%, and consolidated adjusted EBITDA increased 5%. Moving now to our franchise dealership segment results. In the fourth quarter, we generated all-time record quarterly franchise revenues of $3.4 billion, up 12% year over year. This revenue growth was driven by a 13% increase in new retail volume, a 5% increase in used retail volume, and a 10% increase in fixed operations revenues. Our fixed operations gross profit and F&I gross profit also set all-time quarterly records, up 12% and 14% year over year respectively. With the acceleration in new vehicle sales volume in the fourth quarter, new vehicle day supply decreased to 46 days, down from 57 days at the end of the third quarter. Same store new vehicle GPU was $3,241, up sequentially from the third quarter due to our luxury brand mix, and in line with our previous guidance, to exit the year in the low $3,000 range. On the used vehicle side of the franchise business, while we grew volume by 5% year over year, supply constraints and consumer affordability remain a challenge. Our used inventory day supply was in our target range at 31 days, and used GPU was stable sequentially at $1,396 per unit on a same store basis, approaching normalized GPU levels in this supply environment. Our F&I performance continues to be a strength with same store franchised F&I GPU of $2,427 in the fourth quarter, up 4% sequentially and year over year. The continued stability in F&I at these levels supports our view that F&I per unit will remain structurally higher than pre-pandemic levels even in a challenging consumer affordability environment. Our parts and service or fixed operations gross profit increased 12% year over year, driven in part by higher levels of warranty repairs, combined with the effects of our initiative to increase technician headcount by 335 net technicians during 2024. We are very excited to announce that we exceeded this challenging goal, adding 335 net technicians during 2024, which we expect to set the stage for strong fixed operations growth in 2025, as we continue to focus on technician hiring and retention. Turning now to our EchoPark segment. Fourth quarter adjusted EBITDA was $4.2 million, below our previous guidance for $7.8 million in EchoPark adjusted EBITDA. This shortfall was driven primarily by a $200 sequential decline in used GPU from the third quarter as a result of building inventory a little bit too quickly exiting the third quarter, which led to aging inventory and depreciation risk amidst a seasonal slowdown in used demand. In response, we have taken steps to rightsize our inventory at EchoPark, heading into the first quarter and expect for used GPU to improve sequentially. For the fourth quarter, we reported EchoPark revenues of $506 million, down 9% from the prior year, and fourth quarter record EchoPark gross profit of $49 million, up 14% from the prior year. In EchoPark segment retail unit sales volume for the quarter was approximately 16,700 units, down 5% year over year. On the same store on the same market basis, which excludes closed doors, EchoPark revenue was flat, gross profit was up 29%, and retail unit sales volume increased 4% year over year. EchoPark segment total gross profit per unit was $3,004 per unit, up $606 per unit year over year. Despite lower than expected front-end used GPU, EchoPark used vehicle day supply finished the fourth quarter at 38 days compared to 33 days at the end of the third quarter. Our unwavering confidence in EchoPark's long-term potential has allowed us to weather the challenges in the used vehicle market in recent years, and we believe our performance in 2024 demonstrates the tremendous opportunity for this brand. Full year 2024 adjusted EBITDA was $27.6 million, up from a loss of $83 million in 2023, and the EchoPark segment achieved profitability on a pretax basis in 2024. We believe these results validate the strategic adjustments we made over the past several quarters, and we look forward to resuming disciplined long-term growth for EchoPark, as used vehicle market conditions continue to improve over the next several quarters. Turning now to our Power Sports segment. For the fourth quarter, we generated revenues of $30.6 million, gross profit of $7.5 million, and a segment adjusted EBITDA loss of $1 million, which was in line with our expectations for a seasonally lighter fourth quarter. We continue to focus on identifying operational synergies within our current powersports network while fine-tuning our operating playbooks. We are taking a disciplined approach to expansion in this segment, and we remain optimistic about the future growth opportunity in this adjacent retail sector when the time is right. Finally, turning to our balance sheet, we ended the year with $862 million in available liquidity, excluding unencumbered real estate, including $384 million in combined cash and floor plan deposits on hand. We continue to maintain a conservative balance sheet approach with the ability to deploy capital strategically as the market evolves. Additionally, I'm pleased to report today that our board of directors approved a quarterly cash dividend of $0.35 per share payable on April 15, 2025, to all stockholders of record on March 14, 2025. As you can see in the investor presentation we released this morning, we have once again provided certain limited financial guidance for 2025. Note that there are many variables that may affect our business in 2025, including the impact of potential tariffs, shifts in electric vehicle production and demand, changes in the interest rate environment, and consumer affordability among others. In closing, our team remains focused on near-term in the automotive retail environment and macroeconomic backdrop while making strategic decisions to maximize long-term returns. Furthermore, we continue to believe that our diversified business model provides significant earnings growth opportunities in our EchoPark and Powersports segments that may help to offset any industry-driven margin headwinds we may face in the franchise business. And as I mentioned earlier, we look forward to announcing some major new vehicle franchise acquisitions in 2025. We remain confident that we have the right strategy, the right people, and the right culture to continue to grow our business and create long-term value for our stakeholders. This concludes our opening remarks and we look forward to answering any questions you may have. Thank you.
Operator: Thank you. We are now conducting a question and answer session. Before pressing star one. Our first question today is coming from John Murphy from Bank of America. Your line is now live.
John Murphy: Good morning, guys. David, how are you doing? Just to a first question on the acceleration in M&A. You know, Lithia just mentioned that they thought multiples were a little bit high, valuations were a little bit high, so they were slowing down, and we hear that from some folks. But like you, we hear some folks that are, you know, kinda leaning into this. So I'm just curious what you're what you're seeing in the market, what you think of valuations, and there's what many ways to play the game in, you know, regions and strategies go after. So I'm just curious what you're seeing that might be, you know, somewhat different and what really the target is for your acquisitions.
Jeff Dyke: Yeah. This is Jeff, Debbie Moteska. Okay. Okay. I can So this is Jeff. You know, at the end of the day, our background and our strength sits in luxury. We're seeing a lot of opportunities on the luxury side across the country. Multiples have actually gotten better from our perspective, not worse. We are seeing more deals come across. I've been with Sonic for 20 years. We're seeing more deals come across, you know, our desk now than we ever have. And we're in a great position. We're going to buy in just about every single manufacturer that we have. Certainly across all the larger import lines. And so it's it's we're set up for that. We've got a great balance sheet. We've been saving our dollars. We've got the liquidity to go out and do this without adding debt to our balance sheet. And so it's a great opportunity for us. We're ready for that. Our team's ready for that. We don't have to add any overhead. So it's just immediate addition of EBITDA and lowering of your SG&A. And it's the right thing to do for us at this moment. We've got a lot of deals in the hopper. And I would expect us to be announcing deals here in the coming month or two.
David Smith: Yeah. And this is David. I should mention just to piggyback on Jeff's comments about, you know, our teammates and the and the record customer satisfaction scores that I mentioned earlier have have allowed to have some opportunities on the table that that our competitors don't have. So it's it creates a strategic advantage for us to have that performance. So we really appreciate our team's efforts there.
John Murphy: Hey. I'm just I'm sorry. Just a follow-up. Other than luxury, is there a specific sort of region you know, or or strategy that you're you're going after, you know, size you know, size and scale, you know, large dealerships, lower smaller dealerships. I mean, what's or is it sort of all comers on the luxury side?
Jeff Dyke: Well, I mean, I would tell you, it's Jeff again. I would tell you luxury and import, and, you know, there might be a domestic deal here or there. But from California, from sea to shining sea, there are deals across all markets on the East Coast, Alabama, Florida, California, Texas. We're looking at multiple deals have multiple deals in the hopper in each of our big markets. And you know, it rounds out, you know, where we might not have a luxury brand in particular market, allows us to sort of round out our package for that market for our consumers. So it's there's a lot of opportunity out there, John, and we're gonna take advantage of that here in 2025.
David Smith: And we particularly love growth markets. And if when we're when we're taking a look at and some markets we've looked at recently are are are not in growth areas, and we decided to pass on some some deals there. But so it's something to keep in mind and Jeff is from Texas so he always tries to bring us some deals from Texas.
John Murphy: On new GPUs, which is that, you know, the hottest topic of when they're gonna normalize or where they're going, Yeah. I appreciate the outlook that you you gave in in the in the in the slide deck. Maybe could you give us sort of some color of how big a weight or drag EVs have been on GPUs and hopefully as we get through, you know, clearing out some of that that inventory here and you don't get restocked or restuffed, to put it politely, with with more EVs you know, what kind of relief that can create on on new GPUs.
Jeff Dyke: Well well, first of all, sure as hell hope that's the case. We don't wanna get restuffed with all the EVs and Yes. You're exactly right. They need to do a much better job of managing their day supply across the board. Now day supplies came down in the fourth quarter, because volumes went way up. Let's see what happens in the first two quarters of this year and particularly against the domestic. But I think it's about a $400 drag for us, and that needs to go away. That that will heavily offset the the reduction in in new GPU, and it's really mean, a big drag on the west coast and in particular in the luxury brands. That we just we gotta do a better job as an industry the manufacturer gotta do a better job of managing their electric vehicle output along with what the consumer's willing to buy. And that's something that's just really incredibly important. It's gonna become even more important as we go through this year. And hopefully, you know, the new government and their focus will will give us a little relief there. And John, this is Danny. One more. One more point on that. That's part of that wide range, the $2,500 to $3,000 of new GPU we guided for 2025 is the variability in in DEV. The good news is that we finished Q4 with about 10% of our inventory mix being electric vehicles on 11% sales. Again, we're a little higher sales penetration than the industry because of the luxury and California exposure. But that was down from 14% of our inventory mix at electric vehicles at the end of the third quarter. So while we didn't get the the benefit of an improving headwind in EDGPU. We've at least rightsized and aligned inventory levels as of now or as of the end of the year with what our sales rate is. So that's a big step in the right direction. And don't forget the manufacturer heavily incentivizing EVs right now, so you probably have a little false positive. In terms of the amount of volume that we're doing in the country right now.
John Murphy: I think you're being polite, calling a false positive there. Yeah. Yeah. Yeah. Just just just real real quick, lastly, on on EchoPark, you know, things are turning the corner here. You know, what are the the KPIs or or the the things that you need to see internally and potentially externally to turn the tap back on for for store openings. Just wanna understand where where that goes.
Jeff Dyke: Yeah. So I'll let Tim talk a little bit here in a second. I I think it's really important to watch you know, affordability continue to drop. We're buying cars in the auction lanes. In the $23,000 to $23,500 range. We're buying more of a percentage of our cars off the street. We're testing some things to see if we can buy even more off the street. And and as prices come down and affordability comes back, we're gonna start opening stores. It is our intention to begin opening stores first quarter, second quarter of 2026. That's how things are going right now. Should that get better from an affordability perspective? Maybe we could pull that up. A little bit. As you know, we already own real estate. We already have facilities, so it's not gonna be that big of a deal for us to well, I'm start opening stores. It is a big deal though to wait and make sure we're very mature on how and when we open those based on what's going on in the marketplace. And we got a little bit out of hand in the in the third quarter with the level of inventory that we had going into the fourth quarter. Our system did what it's supposed to do. It right sized things. Cost us $200 a copy. In that or we would have been in the $7.8 to $8 million range in EBITDA. So we've got that all corrected and margins have returned to normal here in the first quarter. Tim, anything you'd add to that?
Tim Keane: No. I mean, certainly, we had to make the adjustment in the fourth quarter. We know what it cost us, but we're gonna benefit from that in the first quarter because our inventories were right sized going into the first quarter. And John, just to add, the external factors are obvious that we've all been talking about, you know, the used car supply is gonna hit the bottom in theory in 2025. So we think the second half of 2025 and going into 2026 will be back on the upswing that'll set us up perfect for expansion of EchoPark.
John Murphy: Totally. I mean, we John, we also we opened a store in Houston. We closed a smaller store and opened a bigger store Stafford in in Houston, Texas, and it just shot out of the gates. It's it had a great opening. It's just rolling this month. Should do 350 to 400 cars. Maybe close to 400, which would put it in there as our our second or third largest store automatically. So big markets, the big store, all that's working as we as we had hoped for. Just wanna see the the the the pricing continue to drop a little bit here. Lease returns come back. Those things, it's all gonna help and benefit EchoPark if the manufacturers continue to not be able to help themselves on the new car day supply, EchoPark is gonna win and win in a big way.
John Murphy: Thank you very much, guys.
Operator: Thank you. Next question is coming from Rajat Gupta from JPMorgan. Your line is now live.
Rajat Gupta: Hey, thanks for taking the question. I just had a quick follow-up on EchoPark. The fourth quarter. And I I I appreciate the comments around, like, the inventory, you know, some liquidation happening there, you know, hurting the grosses. But I was surprised to see you know, volumes not do better. I mean, you know, some of your peers, you know, like CarMax you know, Carvana, like, just more independent used car dealers have put up pretty good numbers, you know, for November, December, I'm curious why we did not see that trend at EchoPark. You know, was it just due to just lack of, like, younger car supply? Anything else that you can point to and then have a quick follow-up. Thanks.
Jeff Dyke: I mean, look, on a same store basis, we grew four or five percent somewhere in that ballpark, kind of right along with where our franchise stores were. Look, I think there's an opportunity for us to grow to grow more than that. Rajat. The the overaged inventory took a little bit of focus from us. There's some marketing things that we could have done a little bit differently. And I think we'll still see that happen in the first quarter. Wasn't a bad fourth quarter. We we projected at the beginning of the year that first and third would be very similar and second and fourth would be very similar from a volume perspective they were. So you will see. You know, it wasn't a bad quarter, but at the end of the day, that aged inventory or the potential for aging inventory which is what we had, you know, caused a little bit of a slowdown for us and we focused on that, got that cleaned up. And as we said a minute ago, as Tim said, we're we're we're rolling in the first quarter and should be should be a really nice first quarter.
Rajat Gupta: Got it. Got it. Now that that's helpful clarification. And then just to follow-up on parts and service, you you you know, you're you're doing a great job, you know, you're you're increasing technician counts. Two twenty five. Now I would have expected you get the full benefit of that. You know? No. In twenty twenty five, you know, like, at least, you know, the hiring that took place in the second half of twenty twenty four, You know, looks like you're you're gonna add more technicians again. In twenty twenty five. You know, you have some easy comparisons from CDK in two q three q. You know, I was curious, like, is is is the mid single digit growth guide, you know, just some conservatism in in your in your part? I would have expected that to be much higher, you know, just given, you know, all these dynamics around technicians and just CDK comes. Thanks.
Jeff Dyke: I'm not gonna give you everything right off the bat there, Rajat. I mean, yeah. Look, at the end of the day, mid single digits is kind of what we're guiding to, but there's upside. There's no question when you look at the number of technicians that we've hired. We're very excited about that. Gotta keep them all, but we've got plans in place to do that and and as you can see, that's really paying off. You know, the kind of growth that we saw in the fourth quarter. We had an amazing January in fixed operations if that carries through. You just said is gonna be accurate, and we're gonna have a little better fixed year than probably what we're projecting. But it does get tougher as the year goes on. So, you know, it'll get tougher in the fourth quarter because we were a little bit at full strength. In the fourth quarter of 2024. But first quarter, second quarter, maybe first half or third quarter, you should see some really nice growth from a fixed operations perspective.
Heath Byrd: And Rajat, this is Heath. I just wanna add that we do believe we're gonna get a hundred million in annualized fixed operations gross profit from those technicians but they're not all gonna be up to the level. It's gonna take through the year. So you should see that getting better and better helping offset some of the some of the difficulties in the third and fourth quarter from a comp perspective. But that is that hundred million is a number once they are fully mature and in place.
Rajat Gupta: Got it. Got it. No. That that that's helpful. Thank you, and good luck.
Operator: Thank you. Next question is coming from Bret Jordan from Jefferies. Your line is now live.
Bret Jordan: Did you talk about, I guess, the powersports segment and sort of what you see as the TAM there? I mean, how big could it be? And know, given how the tough the cycle is in that space right now, is now a good time to be buying there? Isn't Wouldn't you be piling it on here because they would be cheaper, or is that not really the case?
Jeff Dyke: You know, now that we're kind of dipping our toe in the water, people think their deals are are are worth more. So I I I think that one of the things that's important to us is to get really good at what we're doing. And our team is maturing around that and and I I really would like to see another quarter or two of great playbook execution or even this year of great playbook execution. You know, we we've got a chart of accounts now. These are really wild, wild west stores that are that are, you know, doing things a million different ways and to bring them in under the umbrella and get them all operating in the same direction as a is a bit of a lift, but we're learning how to do that and do that better. We made a small acquisition in the fourth quarter. Probably some opportunities. We got an add point in Sturgis. We're adding got a Harley Davidson ad point in Sturgis for the show this year. Which is going to be great. That's gonna add some extra revenue for us. Typically, we're doing five, six hundred motorcycles. During that Sturgis rally, and that's gonna go up significantly. For this year. We'll we'll see. You know, we're hopeful that the pan we we think the pan's greater. We hope we're hopeful that we can we can grow this business, but we're we're we're being very cautious and not getting in over our our heads and being very prudent with the dollars that we have to spend on acquisitions.
David Smith: Yeah. And in this state, it is important to to keep in mind that our know, our list of priorities. Right? We've got our our core business, our franchise business, and and our EchoPark business, and and the the focus and and dollars that it takes to to grow those. Is a big one where we're you know, we've gotten into powersports, which we we think there's a great opportunity there, but we we we don't want anybody to think we're getting distracted with with something else.
Bret Jordan: Okay. And then a question on EchoPark. I mean, the inventory mix, is this year is a trough year at lease returns. You need to take the the average age of the vehicle mix up this year just to have available supply? And I guess, could you talk about sort of how much is being sourced internally? You talked about more direct buy versus picking up those twenty three thousand dollar cars at auction. Like, where do you see EchoPark's average vehicle being this year?
Jeff Dyke: Yeah. So we you know, we've moved from about twelve percent of our over mix to twenty plus percent of our overall mix, which is great. And Tim, you wanna add into that?
Tim Keane: Yeah. I mean, I think the average in twenty five gonna continue to get better as the year goes on, but I think it's gonna fall on that twenty four thousand range. We'd like to see it go lower. We don't know what the know, post COVID normal is look like. We know it was twenty one at our peak. Somewhere between twenty one and twenty four is a sweet spot, and that's where we're looking for it to go.
Jeff Dyke: I don't think we have to change our mix in terms of year age, though. We did that in twenty three and twenty four. But I don't think we we need to do that. In twenty five. We've got we've got enough there's plenty of inventory out there support seventeen stores that we have. That's that's not an issue as we prove that you know, at the end of the third quarter by having too much inventory and being a little bit aggressive there. So we're we're not really concerned about being able to buy and handle and support, in particular in the zero to or one to five year old category. Throughout this year. And that's only gonna get better. As affordability gets better, lease returns start to come back next year. All these things, you know, really play into our hand as we move forward. If we're patient and and that's the thing. I just think if you look at twenty five, at EchoPark, it it's it's very similar to twenty four. With operational improvements in stores that weren't making money we're gonna make a little more money. I think we got it to thirty to thirty three somewhere in that ballpark in EBITDA. Do a little more volume, continue to execute really well, and really prep ourselves for beginning to open stores in twenty six.
Bret Jordan: Okay. Great. Thank you.
Operator: Thank you. Next question is coming from Jeff Lick from Stephens. Your line is now live.
Jeff Lick: Good morning. Thanks for taking our question. To ask a question that maybe kind of bridges or or brings together your franchise business and EchoPark. First part is I was wondering how much of the q you know, the four q franchise, the new business you think was due to kinda pent up demand from two q and three q? Like, just curious how much sustainable do you think that's going through? And then as it relates to EchoPark, I mean, I guess, I was a little surprised to hear, you know, that you could have too much inventory, you know, given, you know, availability and affordability was an issue you know, and as I guess, if I look at four q for the new business, the new environment, it seems like this was the first quarter where availability in affordability might have been a little better. So I'm just wondering if there's maybe some relationship there where you know, there's some substitutes. So just, you know, if you could comment on, you know, how unique you think four q was and what that means for twenty twenty five on the new side, then Just the relationship as it relates to EchoPark.
Jeff Dyke: Probably some pent up demand on BMW from the stop sales coming out of q three going into q four. We always have big q fours. I mean, that our but just because of our luxury mix, we we and, you know, it all comes down to December and then it all comes down to the last ten days of December, and we just go berserk. I don't know if I would draw a correlation between that and what's going on on the on the EchoPark side. It's a different mix. A lot of trades and we mostly sell trades on the franchise side. We're buying cars some off the street like twenty percent of our overall mix. Mostly from the auction. Eighty percent of the mix. I I don't think there's a correlation there. The correlation is as new car inventory, day supply increases, which it's doing, Prices come down, which we're seeing on Nissan. We're seeing it on Stellantis, two two brands that had just been unable to manage their inventory. And we can buy those vehicles back now pre COVID type pricing. But there's still further to go. Affordability needs to come back down. But there's plenty of inventory. But like I said, I I probably couldn't go out and buy you know, enough inventory to supply fifty or sixty stores right now, but we can darn well do it for for seventeen to twenty five stores. That that that's something that's in our in our bailiwick. And we wanna just watch what happens here know, over the next six to nine to twelve months before we pull the trigger and open our our first location. For four Echo Park.
David Smith: Also, this is David. I also think that, you know, it being an election year, I think just having some, you know, definitive answer on that, I think, played into people making decisions about you know, their transportation.
Jeff Lick: Great. And and then maybe just a quick follow-up given, you know, you have the whole senior team on. You know, one of the things that's fascinating is when you you know, if you put a blindfold on people and didn't give everyone the the ticker symbols and just showed the results, You know, your results look as good or better than some of the other public peers. And and a lot of times, that is the case. Throughout the years, but you seem to always trade at a a little bit of a discounted multiple. I'm curious how you guys think about that, you know, what you think maybe you could do to you know, close that gap because it seems like it's it just made me, at this point, an unwarranted gap.
David Smith: Yeah. Well, I mean, I think Go ahead. Dave, so I was going to say, well, you certainly have written a nice report on us, and we appreciate the the confidence. I mean, yeah. You scratch your head. Right? I mean, if you look at the if you look at the performance numbers and I know EchoPark, you know, plays a big weight in everybody's thought process. But when you look at the the mothership, in our new our new business, I mean, we had a strong fourth quarter and we continue to have strong quarters. The the the new volume increase year over year, pre-owned increase year over year sort of leads the segments and fixed operation certainly does. You know, it was a great fourth quarter. We scratch our heads all the time saying, you know, what the heck are we missing that the street sees, We just, you know we're just gonna keep plugging away, keep executing at a really high level. We are we have never been better in our CSI, our customer satisfaction scores. We have never been more green. We're so greening. See us from the moon, I've heard. You know, in terms of our KPIs with our manufacturers. We're agreeing to go out and buy dealerships. We're gonna do that. We're so many good positions for really the first time, you know, in this company's history. We're just sitting in a in a great seat and look, our stock price has grown. There's no question we had a great year of growth in our stock price. Of one of the best, I think, out there. And and know, we expect it to continue to grow, and we expect everybody else to catch on at some point in time. You know, to see exactly what you just said because that's what we see too.
Danny Wieland: And Jeff, I'll I'll just add one more point on it. And and Jeff, you know this as well as anybody is, obviously, from a technical standpoint, the the float is gonna impact some investors? And so I think that plays in a lot to how our stock trades as well.
Jeff Lick: Great. Well, listen. Just keep chopping wood and controlling what you can control. Best of luck twenty twenty five.
David Smith: You know, that's exactly what we say every day. Thank you very much.
Operator: Thank you. Next question is coming from Chris Pierce from Needham and Company. Your line is now live.
Chris Pierce: Hey, good morning, everyone. Hey, Chris. On the aged inventory you cite at EchoPark, is it a check chew at some of your newer stores and that's kinda where you had to cut bait.
Jeff Dyke: It's it's a little bit of both, but mainly driven from my perspective, kind of over forecasting the demand in the third quarter that fell a little short at the end and carrying that into the fourth quarter. And having to make the adjustments to wake up in the first quarter the way we wanted.
Chris Pierce: Okay. And then what would you say, you know, in your oldest markets, like Denver, are you seeing anything know, I I think it was referred to earlier, the the third party data on Carvana and CarMax as they grow units. Are you seeing anything in your older markets that's of concern or it's business as usual? Like, how would you frame that in your older markets?
Jeff Dyke: No. I mean, especially Denver, we're still number one. You know, some other car owners of the world have made some progress, but they're taking it from people other than us. Yeah. Our our our oldest markets are real, real stable. And that Denver market you know, we're the largest freemium dealer in the state, I think. And and it's wildly profitable, and that's the rent and repeat that we're looking for.
Chris Pierce: Okay. And just lastly, how would you frame just wanna get a sense of, you know, if you look at EchoPark SG&A, it's up about five million bucks for the second quarter, but units were the same versus the second quarter. Like, what's kinda going on under the hood as far as staffing that's driving the increased SG&A? And how should we think about that in twenty five?
Danny Wieland: I I think we're up about two million. This is Danny. We're up about two million from the second quarter. That's three two yep. And and down a little bit versus the the third quarter. Sequentially on an adjusted basis. So there was some noise related to gains on property sales prior periods too. So you gotta look at the adjusted numbers when you're looking at that trend, and I think that that may be the delta.
Chris Pierce: Okay. Perfect. Everyone.
Danny Wieland: Thank you. And and really maybe just to close out that thought, Chris, the SG&A to gross ratio, you know, that expansion up into the eighty five and a half percent range in the fourth quarter is primarily driven by the two hundred dollar headwind on the front end gross less about the expense side, more about the lost gross.
Operator: Thank you. We've reached the end of our question and answer session. I'd like to turn the floor back over for any further or closing comments.
David Smith: Great. Thank you very much everyone and we will talk to you next quarter.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.